Operator: Good morning, ladies and gentlemen, and welcome to the HelloFresh SE Q3 2025 Results Call. [Operator Instructions] Let me now turn the floor over to your host, Dominik Richter.
Dominik Richter: Good morning, everyone, and thank you all for joining our Q3 earnings call. At HelloFresh, we follow a powerful mission to change the way people eat forever. We've built the only scaled global player in both meal kits and ready-to-eat meals over the past 14 and 5 years, respectively. Our customers benefit from great tasting, healthy meals our wide-ranging variety of seasonal ingredients and global cuisines and the significant reduction of food waste, leading to a superior sustainability profile and lower CO2 emissions versus alternatives. The business is powered by our just-in-time supply chain, the largest of its kind in the world, and a data-driven marketing engine that allows us to reach and engage customers worldwide week in, week out. Over the past 12 months, we've enacted quite drastic changes, emphasizing unit economics improvement, profitability and a much improved customer experience over revenue growth in the short term. Those changes are resonating with customers and multiple customer satisfaction metrics are trending at record highs, indicating that we're both deeply embedded in customers' lives and successful with regard to our mission to change the way they eat. While we're still squarely in our efficiency reset phase with more underlying cost savings making their way through the P&L in the coming quarters, we're now starting the path to unlock even more favorable changes to the customer experience to eventually return to growth. Before I share more on this, let me start by introducing and welcoming our new CFO, Fabien Simon, who joined us about 6 weeks ago. Fabien has had an impressive career to date, most recently serving as the CEO of JDE Peet's, a leading CPG coffee and tea player. Prior to this, he was instrumental in building the JDE Peet's Group from the ground up as their CFO and partner of the investment holding JAB behind it, taking JDE Peet's public at the Amsterdam Stock Exchange. Earlier in his career, he spent 14 years at Mars, where he served in multiple finance leadership roles around the globe, among others, as the CFO of their pet care division. We really couldn't be more excited for Fabien to join us and help us write the next chapter for HelloFresh. At this stage, I also want to extend my gratitude and appreciation to Christian, who served as HelloFresh CFO for the past 10 years and has been instrumental in the growth of the company from about EUR 300 million in revenues when he joined to just shy of EUR 7 billion in revenues in 2025, while turning the business sustainably profitable. Christian's last day will be tomorrow. All the best, Christian, for your future endeavors. With that, let's turn to the highlights for our most recent Q3 quarter now. We observed a stable revenue trend in Q3 versus prior quarters, a decline of about 9% in constant currency, driven by a double-digit decline in orders, somewhat offset by a 4% increase in AOV. In meal kits, we saw a continuation of the trends previously seen, a sequential deceleration of revenue decline for the third quarter in a row with September exit rates showing further momentum. A similarly encouraging trend in RTE, where we saw September exit rates at better levels than in July and August, and we expect both of these trends to continue into Q4. Q3 adjusted EBITDA came in at EUR 40.3 million with the typical seasonality driven by marketing investment and ramp-up costs for our product launches in meal kits and RTE. Despite headwinds from FX rates and mix, we maintained a double-digit adjusted EBITDA margin in our seasonally weakest quarter in meal kits with both North America and also now International improving year-over-year. While Q3 net revenue performance in RTE suffered from lower order rates and customer retention seen in our H1 cohorts, we have turned a corner on many leading indicators, which are up sharply versus the lows seen in H1 this year. Similarly, we continue to be on track with our EUR 300 million efficiency program with about 70% of initiatives implemented, up from about 50% by the end of Q2. Free cash flow before leases has also been on a strong upward trajectory. Year-to-date, we have improved this metric by over EUR 140 million with 9-month year-to-date free cash flow at EUR 170.4 million. In previous interactions, we emphasized two priorities for 2025, delivering our EUR 300 million efficiency program and reinvesting into the product to materially improve the customer experience. These two priorities, efficiency and product reinvestment are not isolated efforts, they are interconnected and deliberately sequenced. Let me give you an update where we stand on both of them. With regard to our efficiency program, we continue to make meaningful progress. By the end of September, we had implemented about 70% of the entire program with the remainder to come in the next quarters. As a result, we are on track to implement about 80% of our efficiency program projects by year-end. Based on current run rate and the tight governance we have wrapped around the program, we feel confident that we will achieve the original EUR 300 million cost savings target or outperform it. The majority of these tailwinds will still work their full effect through the P&L and balance sheet in the coming quarters, given the lagged P&L effect of things like site closures, notice periods or software renewals. Crucially, though, the majority of these actions are permanent. They structurally lower our fixed cost base and improve margins on every order shipped in 2026 and beyond. Despite lower order volumes and significant product reinvestment undertakings year-to-date, these efforts resulted in structurally improved profit contribution margins, lower indirect costs and a leaner, faster organization already. The results are clearly visible. Free cash flow year-to-date is up 4x year-over-year and free cash flow per share is up over 5x year-over-year due to the additional reduction of shares outstanding given the ongoing share buyback program. We are now starting to put that foundation to work via the ReFresh strategy that I introduced in the last call. The flywheel is clear. Cost discipline funds product innovation, a great product drives retention and lifetime value, and improved retention unlocks profitable growth at scale. In Q3, we embarked on our most significant investments to date in the U.S.; in August for HelloFresh and in September for Factor. In meal kits specifically, we expanded to over 100 weekly options on the menu, up from about 60 at the beginning of the year and focused our menu expansion primarily on featuring new cuisines, additional ingredient varieties and many new never-before featured SKUs. We also invested in larger portion sizes and have upgraded the quality and aesthetics of our packaging, keeping our ingredients fresher for longer. The response has been really positive, especially among our most loyal and also lapsed customers who are typically at the highest risk of becoming bored or feeling too much sameness week-over-week in a limited options menu. Sentiment on both social media and across our internal customer satisfaction metrics has been great, and gives us confidence that this is the way to improve long-term customer happiness, retention and ultimately customer lifetime values. Our efforts to acquire fewer but higher-quality customers, combined with the recently launched ReFresh strategy have shown encouraging results across our active customer base year-to-date. Since embarking on our strategic pivot 12 months ago, we have improved average order rates materially versus 2023 and also in 2025 over the 2024 average. And we expect additional improvements on the back of the product investments we have launched in August going forward. This now starts to translate into a recovery of meal kit revenue, which we improved for the third quarter in a row in Q3, as you can see on the right-hand side of the page but even more forcefully when looking at September only, that's the very right-hand bar chart on that right-hand chart. We expect this trend to continue into Q4. Now let's turn to our RTE product group. As indicated in the last earnings call for Q2, we've been hard at work to overcome the temporary operational setbacks we had seen earlier in the year. I'm happy to report that we've made strong progress on many dimensions. We have reworked a lot of our food manufacturing process path. And as a result, we've been able to revert the majority of our meal catalog back to optimal reheat times. We will continue to work through the remainder of the catalog in Q4. We have also instituted and operationalized strict lab testing protocols for all of the new meals coming to our meal catalog. Consequently, we've been able to restore the week-over-week meal variety and menu retention in the earlier parts of Q3 as a first step. Based on this much better customer experience and more robust food manufacturing processes in place, we have then started to improve our meals and menus considerably from September onwards. This is what we call the Factor ReFresh. Since early September, Factor U.S. customers now have over 100 weekly meal options on the menu, up from 40 options in the start of the year. We dedicated additional meals to increase the depth of our GLP-1 range, and we now feature more than 3x the number of seafood meals versus prior periods. The menu expansion is supported by quality investments such as overall larger portion sizes and vegetable quantities as well as higher chicken quality and beef SKUs. We've also opened up additional regional zones for weekend deliveries, giving customers more choice around preferred delivery days and shortening the time from order to delivery of their meals. We've also launched a 4-meal plan to customers. This has been one of the most requested features and directly addresses the customer feedback that they feel overwhelmed by the minimum quantity of six meals per week that we previously had. We won't stop here though. In Q4, we will further continue to expand our menu by an additional 20% with a focus on a new salad range that we developed with a partner, introducing a new ready-to-eat format that does not require reheating per se. For the remainder of Q4, we have also slotted the launch of a number of new, never-before featured premium proteins such as veal sausage and short rib, which have tested really well in customer panels to date. Within the much expanded menu, we will make it easier for customers to navigate the whole menu by rolling out an AI meal recommendation engine that continuously learns which meals customers like best and are most suited to their preferences. With all these things we have implemented on those which are just around the corner, we continue to make big progress on step changing the customer experience. These efforts to date have already shown strong improvements in all of the leading indicators we track. The Net Promoter Score of new customers has trended up sharply since we fixed a lot of the operational issues in Q2 and early Q3. You can really see the sharp drop in Q1 and early Q2 and the continuous climb up since then on the left-hand chart on this page. In September, Net Promoter Score of new customers has been up by 18 points compared to the low point of the year observed in April. The predicted average order rate for new customers has similarly trended up by 12% in September since the lows observed in April and is now back above the historical averages. Finally, projected customer lifetime value has also improved in line with the improvements in AOR, although at a slightly smaller pace than AOR, given the associated extra costs we have absorbed in our margin while fixing all the operational issues throughout Q2 and Q3. While we are confident that we've taken decisive action and can see the success of these actions across all leading indicators, the Q3 output metrics such as revenue and our EBITDA were still heavily impacted by the performance of customer groups we had acquired in H1. You can see the lower order rates of these cohorts in the chart in the middle of this page and extrapolate how those lower order rates from 6 months ago had a compounding negative effect on Q3 orders. The trends for both revenue and margin did, however, improve over the course of the quarter with September marking the best month on revenue, and we feel confident that we can sustain the overarching trend into Q4 now. In summary, we fixed a lot of the customer-facing problems and the customer experience is back in a place where we feel confident starting to invest behind the brand again. Let's now take a look at our KPIs for the last quarter one by one, starting with orders. We've seen group orders at the same rate as we had in H1, down by about 13% year-over-year. In terms of product category, meal kits improved sequentially for the third quarter in a row. RTE worsened sequentially. As explained moments ago, this was primarily due to the low average order rate of new customers acquired during the first half of the year when we faced headwinds from all the food manufacturing-related changes, which drove down the customer satisfaction and early customer retention. Group AOV continued to increase year-over-year by about 4%, driven by our loyal customer base in meal kits who make up a larger portion of the customer base and the strong improvement to the value proposition we have delivered. Both geographic segments actually increased by about 5% like-for-like, but mix effects and adverse FX rates led to a 4% group AOV increase. Specifically, we benefited from customers taking larger baskets in Q3 versus the same period last year, lower incentives given the maturing customer base and selected price increases towards the end of the quarter. Taken together, the decline in orders and the increase in AOV drove a 9% year-over-year revenue decline in Q3, a marginal sequential improvement for the group. Geographically, North America revenues declined by 13% year-over-year, while International net revenues saw a 1.5% year-over-year decline. More interestingly, by product group, net revenues decelerated to a decline of 12% year-over-year, a third straight quarter of improvement. And again, we expect this trend to show up even more forcefully in Q4 for meal kits. For RTE, we saw revenue decline by about 5% year-over-year in constant currency, a result of the lower order numbers from the customers acquired 6 months ago. This was worse sequentially versus Q2. But as our leading indicators have improved sharply versus the lows in H1, we expect a clear reversal of that trend for Q4. Finally, we continue to grow our other segment by 44% year-over-year, while containing the adjusted EBITDA losses for that segment to the same level year-to-date than what we saw in 2024 and despite lapping much larger comparables. With that, I'd like to hand over to Fabien to go through the cost side of the business and update you on our free cash flow, share buyback program and guidance. Thank you.
Fabien Simon: Thank you, Dominik. I'm very pleased to be here today presenting our Q3 results for the first time since joining HelloFresh a little over a month ago. We are at a pivoting time for HelloFresh. So I'm looking forward to joining Dominik and the rest of the team and to leveraging my previous experience to help HelloFresh successfully navigate this reset phase and beyond. Over the last month, I have already met some of you in the analyst and investor community, but I will, of course, be available after this quarter to discuss HelloFresh further. Let's now turn to Page 15 to discuss our contribution margin for the quarter. In Q3, the contribution margin came out at 24.5% of revenue, excluding impairments and share-based compensation. This is a touch better as a percentage of revenue than the same quarter last year. Although down in absolute terms, I would qualify it as encouraging, especially in the context of the volume decline, product reinvestment, residual operational issues in ready-to-eat and finally, some increasing complexity that comes from the step-up in our menu choice and personalization. The slight increase as a percentage of revenue had been possible, thanks to the efficiency program, which had been initiated by management. And that is on track to deliver what had been communicated earlier this year. If we look at it from a geographic lens, both North America and International have shown a degree of expansion in their contribution margin, which I understand is the first time in quite some quarter now where both improved at the same time. For the group, we remain on track to deliver the promised improvement of 100 basis points of contribution margin for full year 2025. On the next page, we show the evolution of our marketing spend for the third quarter of the year. With a marketing investment intensity around 20% of net revenue, the business is well invested. This percentage is slightly up versus the H1 trend, which is explained by the back-to-school seasonality, a moment when it makes sense to acquire customers when families are grappling with returning to a post-summer routine. Overall, the absolute amount spend reduced by about EUR 25 million in the quarter. But because it reduced less year-on-year than the revenue decline, the percentage increased versus last year. I think this is a result of the strategy shared over the last few quarters to acquire less but higher quality customers with better product offering while pursuing a higher marketing ROI. This is noticeable on the meal kit P&L, where we continue to see a step down in marketing spend in both absolute and percentage of sales. Yet there's still a meaningful amount invested, which was leveraged to target existing and prospect customers on our Hello ReFresh product upgrade. For ready-to-eat, as it was discussed during the previous Capital Market Day, we are continuing to invest in brand equity building for Factor and the other RTE brands in order to support long-term quality growth where we note increase in awareness from the uninterrupted investment. You can see the development of our adjusted EBITDA for the quarter as well as year-to-date on this page. Overall, the adjusted EBITDA went down by EUR 32 million in the quarter, which is in large majority driven by ready-to-eat, where we continued to invest in brand equity and products as shared just before. This is visible here on both product category level and as well at a geographic level in North America. On the positive side, you can note a stable absolute profitability in meal kit despite the tailwinds we referred earlier. And we managed to increase the adjusted EBITDA margin this quarter versus the same quarter a year ago. Similarly, the International side of the group kept the same adjusted EBITDA margin in Q3 than last year with a contribution margin almost stable in absolute terms. So again, besides the adjusted EBITDA setback in ready-to-eat, the overall profitability dynamic in the quarter and in year-to-date has been positively supported by the efficiency reset program as well as a targeted attempt to be diligent in our marketing spend. On to the next page now to review our free cash flow performance. So far, the free cash flow is presented excluding repayment of the lease liabilities, but expect it to be presented after those repayments going forward as it is, in my view, the true reflection of the cash flow generated from which we strategically decide to allocate capital. So with or without the repayment of this lease liability, there's a meaningful progress on free cash flow year-to-date by EUR 140 million on the existing definitions. This makes us on track to meet the guidance of more than doubling the free cash flow from last year. I think it's probably a good time to update on the share buyback program. In the first 9 months of the year, we repurchased a total of 11.1 million shares for a total value of EUR 97.6 million. 6.2 million shares were canceled in July, and a further 7.9 million shares are currently in the process of being canceled. So accounting for the impact of our share buyback program, the free cash flow before repayment of lease liabilities per diluted share in the first 9 months of the year was EUR 1.03 compared to EUR 0.18 for the comparative period in 2024. Looking now at the guidance. So with the benefits of 3 quarters of trading behind us, we can first confirm the latest commitment and as well take the opportunity to guide towards the most likely range. So first on top line. For Q4, as preempted in the previous slide, we are seeing sequential improvements for both ready-to-eat and meal kit in constant currency. Of course, we have to be mindful that a month does not make a quarter, but assuming that the current trend persists, meal kits are likely to post a high single-digit decline in Q4 from what had been so far a double-digit decline. Ready-to-eat should also see an improvement. However, with a slight delay in the recovery that we saw in Q3, the growth will likely remain negative in Q4 on a constant currency basis. So with that in mind and somewhat dependent on the path of the recovery of RTE in the next couple of weeks, we would likely be at a mid- to high single-digit decline level in Q4 in constant currency. Which means that for the year, we are trending towards the bottom end of the latest constant currency growth guidance, so at around minus 8%. On the bottom line, for Q3 adjusted EBITDA, we should expect a similar level than last year in absolute euro terms. So extrapolating that for the full year, we should trend towards the bottom half of the latest adjusted EBITDA range of EUR 415 million to EUR 465 million. Thank you. And with that, I'll hand over to the operator for the Q&A sessions.
Operator: [Operator Instructions] The first question is from Joseph Barnet-Lamb, UBS.
Joseph Barnet-Lamb: So in the deck, you show us on Slide 7 that meal kits only declined high single-digit constant currency in September, which is obviously incredibly encouraging. It's also a big customer acquisition month. So I guess there are two things related to that. Firstly, in order to obtain this performance, I assume you marketed harder. Can you just talk about the phasing of marketing within that quarter a little bit? And also what CAC looked like in September given the heightened spend? And secondly, related to it, I appreciate the month hasn't quite ended, but any indication you can give us on October would be helpful. I mean you've sort of given us some indication with regard to your guidance for Q4, but is it fair to assume that October has followed a similar path to September as well?
Dominik Richter: Thanks for your question. Let me take that and give Fabien some time to settle into our Q&A session here. So high level, I think it doesn't make sense to kind of like comment on every single month. I think for Q4, we definitely feel very confident that we'll see a recovery -- a further recovery in meal kits revenues as Fabien just laid out. Month-over-month, I think you will also see that these trends continue that we've seen in September. But overall, there's always like a lot of different holidays, other stuffs, et cetera, so that you shouldn't kind of like always just look at every single month. But I do think that the trends that we saw for Q3, both on RTE and on meal kits will definitely persist into Q4 and into the full Q4. Now with regard to the first part of your question around marketing intensity and CACs, we're definitely still in the phase where we are -- especially for meal kits, I think, holding back a lot of spend. We don't comment on CACs generally because we think CACs are just one part of the overall equation. So what we try to optimize for is that for the -- every marketing dollar that we invest that we get the best return. We don't necessarily always get that by investing at the lowest CAC. You don't get it by investing at the highest CAC. You need to look at the customers that you acquire, what's the quality of them and how do you think they will trend over the next couple of quarters as they pay back the marketing investment. So we always look at the equation end-to-end rather than at one single piece of it. But for sure, what we have seen is that the product -- the ReFresh launch in the U.S. has allowed us to first launch the product and then advertise it both on own channels and also on other advertising channels that we're in. But we haven't been massively, massively kind of like stepping up our investment levels, especially not compared to last year.
Operator: And the next question is from Luke Holbrook, Morgan Stanley.
Luke Holbrook: I just got a question again on the RTE side, just to try and understand some of the challenges that you're facing that you're expecting declines in Q4 from growth before. How much of this do you think is more [Technical Difficulty]. Can you kind of just give us a bit more color on how we think about the EBIT margin being a bit weaker, but also growth too? Just break that down for us.
Dominik Richter: Look, we've had a hard time understanding your question. Maybe you can repeat.
Luke Holbrook: I'm just trying to understand why some of the EBIT margin is weaker, but also the [Technical Difficulty] the RTE side. Is this attributable to more competition from community and others? Is this more from the macro conditions? Like what is that you have on why the revenues and EBIT margins are a little bit weaker on the [Technical Difficulty].
Dominik Richter: We continue to have a hard time understanding your question exactly. I picked up a couple of parts and maybe can try to answer what I inferred. So high level, we've reworked a lot of our meal catalog in RTE, right, with additional lab testing with a reformulation of a lot of the process path. We're throwing additional labor sort of like on some of those things to fix the customer experience first. This was our first order of priority, making sure that we fix the customer experience. And certainly, over the course of Q2 and also in Q3, we have definitely like carried some additional cost as a result of it. I think now that the customer experience is restored, we can see positive momentum on lot of the leading indicators. We'll be focused a lot on Q4 and into the next quarters to basically be better on the unit economics and kind of like drive efficiency as much as possible. I hope that was going in the direction as I inferred from what I could hear from your question.
Luke Holbrook: And perhaps [Technical Difficulty] just clarification then on the financial side. There's a EUR 20 million cash out on the working capital side [Technical Difficulty] what that was in Q3? And does that unwind in Q4 as well?
Fabien Simon: Luke, let me take this one. So I understood your question was related to the Q3 free cash flow. So in Q3, the free cash flow was negative, minus EUR 80 million comparing to EUR 44 million negative last year. So a difference of about EUR 36 million. But I will -- if you look at it, it's all coming from the difference in adjusted EBITDA, which was EUR 32 million. So you have EUR 1 million or EUR 2 million on working capital, EUR 1 million or EUR 2 million on CapEx. But I would say it's exactly the same dynamic. So I would not overread a quarter of free cash flow in this business given the inherent seasonality. What is more critical is the year-to-date. And I'm very pleased with the significant improvement. But even more interestingly, if you look at the free cash flow after lease repayments, this year, it turned positive. Last year, it was negative EUR 36 million year-to-date. Now it's positive, a bit more than EUR 75 million, which is extremely encouraging. And in Q3, the free cash flow landed to the level where the management anticipated it to be, given the seasonality.
Operator: And the next question is from Nizla Naizer from Deutsche Bank.
Fathima-Nizla Naizer: So my question is around the ready-to-eat business as well. Could you remind us -- so if Q4 is going to be a quarter of declines again, when could the segment again return to growth? Would that be a Q1 '26 story or further out in the year as you continue to invest in the product? Some color there would be great. And maybe connected to that, how do you think of the shape of the group's growth when you look at 2026? Any sort of targets that you already have in mind that you can share with us? Because if this is a transition year, would next year then be the year of recovery and growth again? Some color would be great.
Dominik Richter: So we're very happy with what we've seen in the leading indicators in Q3 and how we have restored them from the lows in H1 in RTE. So we think this will definitely be a positive tailwind into Q4. Now are we going to land at flat? Are we going to land at slightly negative, et cetera? I think this is always like within sort of like the margin of error, but we're very confident that we'll see a sequential improvement in RTE. And then we're in the middle of planning for the next year. I think generally, if you think about the drivers of the business, I would expect that we have better order rates in the business next year than what we've seen this year. If you think back to the lows that we've seen in H1, I think we should be able to stabilize our conversion volume. And so I think overall, if I look at the whole picture, I see no reason why we shouldn't be able to grow in RTE next year, but we go through the detailed bottom-up business planning over the next couple of weeks. And in the course of reporting our full year results, we'll also share more about the shape that next year will take.
Operator: And next, we have a follow-up from Joseph Barnet-Lamb with UBS.
Joseph Barnet-Lamb: Given I've managed to get to the front of the queue again, I might ask a couple, if that's okay. So firstly, on contribution margin, you saw a 0.2 percentage point increase year-on-year in the quarter. In Q2, you saw a 1 percentage point improvement. You mentioned the temporary RTE food manufacturer fixes weighing on this. Do we expect this to continue weighing in 4Q? Is it something that's fixed in sort of one go? Or is it something that's fixed progressively? That would be question one. Question two, there was a USDA recall relating to Listeria. That was in early October, so it wouldn't have impacted 3Q. What was the impact of this, both from a top line and cost perspective? And then -- well, maybe I'll stop there. I've got more.
Fabien Simon: So maybe I can take the second part of the question and giving time to Dominik to answer the first one. On the Listeria issue, yes, you have seen indeed the communications on an issue related to a third-party manufacturer. We have been taking very precautionary measures to immediately seize it. And actually, there has been some impact in our Q3 numbers because there has been some inventory write-off that we had at the end of Q3, we decided to book this quarter, which was at EUR 1.7 million. And we may expect a few credits to customers to come in this quarter, but it will be a negligible amount because the issue has been well contained.
Dominik Richter: On the contribution margin overall, I mean, there's always sort of like, obviously, Q3 is a seasonally weak quarter. So we absorb sort of like more of the fixed costs in Q3. Generally, there were definitely sort of like some additional costs in reworking some of the RTE manufacturing processes. I think overall, if you look at the substance of our improvement plan, at the substance of our efficiency program, then I think there's quite a bit more that we can clip on the contribution margin side over the next quarters. What we also had in Q3 was the ramp-up. If you think about meal kits 60 to 100 meals in September for RTE then also towards 100 meal menu, this usually is in the first 2, 3, 4 weeks when we introduce it temporarily has somewhat higher costs. That's what we saw in meal kits that has settled back down after 3, 4 weeks when we had some more routine with those processes. So I think really structurally, if you look under the hood, I think a lot of the efficiency metrics are doing pretty well. And I would expect that this is not a sort of like a setback or that the sort of like improvements are now kind of like trending heavily backwards. But that actually the program that we have and a lot of the underlying efficiency metrics, if you net out like some of the one-off impacts that we had in Q3, that there is definitely still ample room to improve further.
Joseph Barnet-Lamb: Really helpful. If I can squeeze one more in. At the Capital Markets Day, you indicated that retention was 6% better at 10 weeks and 8.4% better at 20 weeks for your post-pivot cohort. With substantially more data behind you, can you now comment what happens beyond 20 weeks? I certainly don't expect you to give us any specific numbers, but at sort of 30 weeks or 40 weeks, is retention more than 8.4% better than the pre-pivot or less or similar? Any color on that you can give would be amazing.
Dominik Richter: So I don't have the exact numbers top of mind. I didn't bring them to this call. But I think what you tend to see is product investments have a particularly good impact on sort of like the outer parts of a cohort. This is really where it addresses sort of like some of the concerns that customers have when they say that the menu kind of like tastes too much the same after I have used it for a long time. These are the things that we're really addressing with a lot of the product reinvestment initiatives. And to date, a lot of the initiatives tested in isolation have shown exactly that impact. And what the aggregate impact of that is, I would have to look up. But generally, I think what we should expect that the bulk of the impact of a lot of our reinvestments comes in the outer quarters of a cohort.
Operator: And as we have no further questions in the queue, I will hand back for closing remarks.
Dominik Richter: Thank you all for attending our Q3 earnings call. I think when we think back to the start of the year and the plans and objectives that we've laid out back then, we feel very good about our efficiency program. We feel very good about a lot of the organizational and leadership changes that we've made. We feel definitely that the velocity of the organization increased materially. We are very much on track with our recovery plan in meal kits. But obviously, sort of like the curveball that we've had to deal with over the course of the year was around the RTE performance. Here, I think a lot of the leading indicators are pointing to the success of the efforts that we have initiated, but we'll need to work through this to kind of like get both business lines then eventually return to growth and provide sort of like the outcomes that we're all working towards. Thanks a lot for attending our call and speak to you in the new year, most likely. Thank you. Bye-bye.